Operator: Good day ladies and gentlemen, and welcome to the CUI Global Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn the call over to your host Janine Zanelli. Please go ahead.
Janine Zanelli: Thank you, and good morning. Welcome to the CUI Global 2015 third quarter earnings conference call. We appreciate you joining us today. With me on the call is Mr. Bill Clough, Chief Executive Officer; and Dan Ford, Chief Financial Officer. The purpose of today's call is to review the Company’s financial results for the third quarter, as well as provide you with some additional color on the business going forward. Following management's remarks, the call will be opened up for questions. Many of you may have seen the Company's release that was issued today. If you haven't, it can be accessed at the Company's website at www.cuiglobal.com. A replay of this call will be available until November 21, details can be found in the press release. Today during the course of the presentation, we will be directing your attention to a series of slides. Those slides can be accessed during the call from the link in the press release that went out yesterday or from the Investor Relations section of the website. As a reminder, this call will contain certain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities and Exchange Act of 1934 as amended. On Slide 2, we will discuss the forward-looking statements. Such statements are subject to risks and uncertainties that could cause actual results to vary materially from those projected in the forward-looking statements. The Company may experience significant fluctuations in future operating results due to a number of economic, competitive and other factors, including among other things our reliance on third-party manufacturers and suppliers, the government agency budgetary and political constrains, new or increased competition, changes in market demand, and the performance or liability of our products, these factors and others could cause operating results to vary significantly from those in prior periods and those projected in forward-looking statements. Additional information with respect to these and other factors, which could materially affect the company and its operations, are included in certain forms the Company has filed with the Securities and Exchange Commission. With that, I’d like to introduce Mr. Bill Clough, CEO of CUI.
Bill Clough: Thank you, Janine, and thank you everyone for taking the time to join us on this morning's call. I’ll start with a brief overview of the quarter and then I’ll hand the call over to Dan to review the third quarter and year-to-date financials in more detail. When Dan is finished with his remarks, I’ll provide some additional commentary on several of the key initiatives we are working on CUI Global. We'll open the call up to Q&A after that. As discussed during the second quarter conference call, due to this type and size of contracts we currently engage in and market conditions, we have adopted a policy to not identify parties we were selling to by name. Occasionally you may see an announcement from CUI identifying a subset of sale win or partnership than the regular course of business we will not share company names. We appreciate your understanding of this practice which will benefit our customers and CIU and we believe will actually allow us to be more informative in our public announcements. Turning to the quarterly results, there is positive momentum in CUI's business supported by a strong third quarter. Revenues for the third quarter were $24.9 million, an increase of 70% compared to the prior year. From a segment perspective quarterly revenues for the Power and Electro-Mechanical segment contributed $16.7 million an increase of 29% from third quarter 2014 and the gas segment contributed $8.2 million, a 2% increase from the prior year. For the nine months ended revenues were $64.8 million an increase of 13% compared to the prior year. The Power and Electro-Mechanical segment contributed $44 million of revenue during the nine month ended, an 80% increase over the prior year while the gas segment contributed $20.7 million of revenue an increase of 3% from the prior year. Backlog is strong for both business segments representing $38.8 million of open customer orders as of September 30, which makes us quite optimistic as we look ahead. The Power and Electro-Mechanical segment which represented 67% of the revenues in third quarter showed positive revenue growth both year-over-year and sequential. A significant portion of that increase is associated with the sales performance of power technology products acquired in the March 2015, from Tectrol. Following that acquisition we estimated those acquired power technology products with adding an incremental $10 million to $12 million in revenue to the P&E segment in fiscal year 2015. Today we share with you that through September 30, those products have already generated 10.4 million of revenue as the product buying has integrated very well with CUI's existing power and Electro-Mechanical segment sales platform. The gas segment represented 32% of revenue showed positive sequential growth and a small decrease in revenue from the third quarter of 2014. We continue to see traction developed in both the VE and GasPT technologies, significant progress in trace element detection and an uptick with some significant customers. In particular, our ability to quickly and accurately detect Mercury is becoming more and more recognized in the industry. Because Mercury is highly cohesive to aluminum and therefore can create catastrophic damage to an LNG terminal, we've been very aggressive in that market and we are seeing significant results in Australia and elsewhere. Our integration efforts with CUI Canada continue. This acquisition has already enhanced capabilities of our power group and has broadened the customer base for our proprietary electronic product line. We continue to analyze our ability to manufacture more of our product line in Canada. Let me turn the microphone over to Dan Ford our CFO, so he can run through the numbers in more detail. Dan?
Dan Ford: Thank you, Bill. I will discuss not only our third quarter results, but also the year-to-date and transmission as well. As Bill mentioned, the Company's revenues were $24.9 million for the quarter, up 17% from the third quarter of 2014. Year-to-date revenues were $64.8 million, up 13% from the first nine months of 2014. The cost of revenues for the quarter was $15.5 million versus $13.4 million in the same period last year. Cost of revenues as a percentage of revenue for the three months ended September 30, increased slightly to 62% from 63% during the prior-year comparative period. For the year-to-date period ended September 30, cost of revenues was $40.8 million versus $34.8 million for the comparable period in 2014. The cost of revenue as a percentage of revenue for the year-to-date period increased to 63% from 60% during the prior-year comparable period. The cost of revenues as a percentage of revenue will vary based upon the product mix sold during the period, the mix of natural gas systems sold during the period, contract labor necessary to complete gas related projects and is also depended upon competitive market in which the company competes as well as foreign exchange rates. The Company expects 2015 cost of revenues to remain in the low 60% of revenues range consistent with the past three fiscal years and resulting from consistent margins and core power segment products, lower margins on gas integration related projects and higher margins on technology-based products offerings in both segments. The unaudited sales order backlog at September 30, was a consolidated $38.8 million, of that the Power and Electro-Mechanical segment held an audited backlog of customer orders of approximately $23.5 million and the gas segment held an unaudited backlog of approximately $15.3 million. Gross profit for the quarter was consistent with the prior year quarter at 38%, generating $9.4 million of gross profit as compared to $8 million in the prior year period. For the year-to-date period, gross profit was $23.9 million or 37% versus $22.7 million or 40% during the prior year nine months ended. During the three and nine months ended September30, the Power and Electro-Mechanical segment generated gross profit margins of 39% and 38% respectively, while the gas segment generated gross profit margin of 35% for both periods. Selling, general and administrative expenses increased by $1.1 million to $7.9 for the third quarter compared to $6.8 million in the same period 2014. SG&A was flat at 32% as a percentage of revenues compared to the prior year. For the nine months ended September 30, SG&A increased by $5 million to $24.5 million versus $19.5 million during the prior year period and as a percentage of revenue it increased to 38% from 34% for the same comparable period. The increases in SG&A costs for the three and nine months as compared to the prior year period are primarily associated with the increased sales volume of power segment including the addition of the operations related to CUI-Canada. Also contributing to the increase in SG&A were SG&A activities of Orbital Gas Systems North America which opened in January 2015 The remaining increases in SG&A are associated with the ongoing activities to reach new customers, promote new product lines including Novum, GasPT, IRIS, VE-Probe as well as new product introductions. Partially offsetting the increase in the quarter and nine months were $0.7 million charge during the three months ended September 30, 2014 of equity compensation expense for strategic consulting services that were completed regarding the testing and demonstration of the GasPT technology in accordance with the terms of the consulting agreement. The coming report of the net loss of $59,000 or $0.00 per share EPS for the quarter ended September 30, 2015. In the prior year period the Company reported a net loss of $349,000 or $0.02 per share. For the nine months ended September 30, 2015 the Company reported a net loss of $4.6 million or $0.22 per share as compared to the loss of $903,000 or $0.04 per share on a prior year period. Net loss for the three and nine months ended September 30, 2015 was primarily a result of increased selling, general and administrative expenses related to the opening of the Orbital Gas Systems North America facility in January 2015 and additional CIU Canada in March 2015. As well as the ongoing amortization of intangible assets related to the Orbital Gas Systems Limited and CUI-Canada acquisitions. Adjusted net income which represents net income or loss, plus the amortization expense of the intangible assets acquired via the 2013 Orbital acquisitions and in 2015 CIU Canada acquisition partly expensed associated with stock and options issued for compensation royalties and services. For the third quarter it was $506,000 or $0.02 per share, as compared with net income of $1.4 million or $0.07 per share for the third quarter of 2014. Year-to-date adjusted net loss was $2.4 million or $0.12 per share, as compared to net income of $3 million or $0.14 per share in 2014. As of September 30 2015, CIU global held cash and cash equivalents of $6.2 million, a decrease of $5.5 million since December 31, 2014. The Company had additional short term investment of $0.5 million, a decrease of $10.7 million since December 31, 2014. Operating activities generated negative cash flow from operations of $7.2 million during the nine months ended September 30, much of which was utilized during the first six months of 2015 following the opening of Orbital Gas Systems North America and the acquisition of CUI Canada versus positive cash flow from operations of $1.2 million for the first nine months of 2014. The change in cash used in operations is primarily the result of the net loss for the nine months ended September 30, 2015 before the non-cash expenses as well as changes in assets and liabilities, particularly those assets and liabilities associated with the activities of Orbital Gas Systems North America and CUI-Canada. For the third quarter of 2015 the Company used 277,000 of cash and operating activities as compared with the $6.9 million of used during the first six months of 2015. Of the first six months the held cash was significantly impacted by the changes in operating assets and liabilities following the acquisition CUI Canada and Orbital Gas Systems North America's opening. Further to the overall change in cash and cash equivalence and short term investments, the Company utilized $4.3 million of those assets to fund the acquisitions of CUI Canada as well to fund $4.4 million of investments in property and equipment including the construction of the new manufacturing research facility at Orbital Gas Systems Limited in the U.K. As of September 30, 2015 the Company had 20,805,241 common shares outstanding. EBITDA for the quarter was a profit of $587,000 or $0.03 per share versus a profit of 840,000 or $0.04 per share in the same quarter 2014. EBITDA for the nine months ended September 30 was a loss of $2.3 million or $0.11 per share as compared to the profit of $2.4 million or $0.12 per share for the first nine months of 2014. Adjusted EBITDA for the third quarter of 2015 was 953,000 or $0.05 per share versus $1.8 million or $0.09 per share for the third quarter of 2014. Adjusted EBITDA for the nine months of 2015 was a loss of $1.3 million or $0.06 per share versus $4 million of profit or $0.19 per share for the first nine months of 2014. The EBITDA and adjusted EBITDA were primarily impacted by the previously discussed items regarding operating costs associated with launching Orbital Gas System North America. Now I will turn the call back to Bill.
Bill Clough: Thank you, Dan. Before we take questions, let’s talk in more detail about some of our recent accomplishments. In the third quarter, we continue to see increased demand and interest in our GasPT and VE Technology product lines. We delivered and received purchase orders for seven GasPTi's. Significantly on September 3, we received the long waited request for quote for a large Italian pipeline transmission company for as many as 3,000 GasPT units. A response to that RFQ was due late last month and was filed in the timely manner. While there is a little to say about the project at this point, we expect some to reach before the end of the year. Additionally we delivered two redundant GasPTi systems to a large Asian natural gas operator and manufacturer. These units are part of a pilot program to determine a potentially much broader deployment of the technology by this customer for process control of it's large frame power generation turbines worldwide. Our GasPT products are now being tested and evaluated by two of the world's leading manufacturers of gas turbines, which represent one of the largest addressable market opportunities for us in terms of both new builds and the thousands of existing units in operation around the world. From process control for large natural gas fired turbine and compressors, to Mercury detection, to thermal well applications, and trace element detections like moisture, our new technology portfolio is increasingly recognized as a unique cost effective solution for many challenges facing the natural gas industry, providing operators with information, efficiencies, and real time data, which is simply unavailable by any other means. With that fact in mind let's move to the e-technology sales, where the news is also quite positive. In the third quarter we delivered an additional 4 VE sampling systems, bringing our total delivered units to 112 units, while we delivered an additional 7 VE thermal well applications, bringing the total deliveries of thermal wells to 419 units. Furthermore, we have outstanding purchase orders for GasPT, GasPTi, and VE sampling system, representing more than £2 million or $3 million in revenues. We continue to receive increase and are working with numerous potential customers. Additional highlights from our third quarter include, we received a long awaited request for quote from a large Italian pipeline transmission company for as many as 3,000 GasPT units with initial deliveries beginning in early 2016. We delivered our initial Mercury sensor devices, incorporated in the Company's proprietary VE technology to the Gorgon LNG project in Queensland, Australia. We delivered 11 additional VE Probe/Sampling/Spare systems. We delivered and or received purchase orders for an additional seven GasPTi's. We successfully were awarded four additional bio-methane orders, we received purchase orders from large U.K. natural gas transmission company, for 10 additional IRIS kiosk. We received the 2015 M&A Award for U.S. Manufacturing Acquisition of the Year from Acquisition International, a well-respected European periodical, for acquisition of Tectrol, now CUI-Canada. We announced the appointment of an experienced oil & gas executive, Joseph A. Mills, as an independent Director of the Company; and we formally opened our new 46,000 square foot Manufacturing/R&D Facility at our U.K. Headquarters in Staffordshire near Stone. In conclusion, we're pleased not only with our solid third quarter performance, but also with our strong backlog, continued interest and traction with our new technology from a growing number of companies, as well as our initial interaction with customers about our new product portfolio acquired from CUI Canada, all of which proved well for continuing momentum into the current quarter and into 2016. We are quite satisfied with our third quarter performance and while we understand the near term focus that many shareholders have on our opportunity with the Italian natural gas transmission company, it is important for everyone to understand that we have made significant progress with many other large global companies in the natural gas industry, and that the future and the prosperity of CUI Global and it's subsidiaries is not tied to any individual customer or project. Finally, I'd like to thank everyone for your continued interest and support of CUI. Now let's open the floor for questions.
Operator: [Operator Instructions] Our first question comes from Joe Maxa with Dougherty & Company. Your line is open.
Joe Maxa: Thank you, and congrats on a nice quarter. So, question on the opportunity with the large Italian gas company. You mentioned you may hear something by year end or would you expect that to be some type of order by year end or is there another step you need?
Bill Clough: It's not immediate sale, there's no other step that we need, we have already received a couple of enquiries regarding the bid that we submitted. So they are actively reviewing it, I just expect to hear something that we can announce by the end of the year. But again, I have nothing on which to base that other than historically they generally take 30 to 45 days to make these decisions after the requests are filed, and we filed our bid on the 29th of October.
Joe Maxa: Okay, that's helpful. On the backlog, obviously solid backlog in the power segment, the backlog in the gas segment was down little bit sequentially but excluded any other maybe orders from lets say the large gas Italian company, would you expect that gas products or lets say the gas segment to increase sequentially in Q4?
Bill Clough: Yeah, I would think so. Again especially the backlog, it's nothing particularly exciting, it's simply seasonal up and down of the business. So there was nothing particular. There's a couple of events happening that could actually dramatically affect that outside of Italy, there is a decision going to be made at the end of this month by the British Government, they will extend the tariff subsidies for bio-methane gas, if that happens, which we expect it will, that will dramatically change the number of bio-methane projects we'll probably be doing. There's a number of different things going on, but there's nothing in particular exciting about that, it's just seasonal.
Joe Maxa: Speaking of the bio-methane gas, those skids have that margin improved meaningfully from where you were seeing before?
Bill Clough: Yes, absolutely. Two things we've done, one is, nothing in too much detail, but we had been providing the market with what refer to as kind of the Rolls Royce solution, and one of the things that we've done over the last several months, especially this last quarter, is we provided a much more strip down model that has a much better margin. It's a lower top-end cars, better margin for us. I was about to say Volkswagen version but I'm not going to say that now. Let me make it a Toyota version of the bio-methane skid that we're planning the market to be quite excited about. And so again, the margins are improving.
Dan Ford: And I think you can see that Joe too, just when you look back at Q4 last year was when those margins were in the gutter, and the margin for the gas segment was I believe low teens or just between 10% and 15% somewhere in that range, and this quarter it's in the mid 30s again, and that's where the fair amount of bio-methane project happens. So, the margins we are seeing are in the mid-30s on those bio skids.
Joe Maxa: Right. And lastly I'll just ask on those Mercury sensors. What type of margin do you see on that type of product line?
Dan Ford: Much the same as we do in GasPTi's. The substantial gross margin, very nice operating margin, something in the 30%, 35% range. So they are nice margin devices. Right now it's a situation where we have really the only response to mercury. Mercury is a really difficult element to detect because it's so heavy and settles to the bottom of whatever it's in. And so we've got a real lack in that market, that's why we're going after so aggressively.
Joe Maxa: Thank you very much.
Operator: Our next question comes from Eric Stine with Craig-Hallum. Your line is open.
Eric Stine: Good morning. Just wondering if you could just talk about the importance of what you're seeing now that you've got reference customers. We've always heard feedback that there is high interest in a lot of your gas products. But people really wanted to be able to talk to or see deployments that were actually in the field. What has that done to your pipeline and maybe what's that done for your distributors and what kind of visibility does that give you going forward?
Dan Ford: Yes, we still doesn’t have the impact on our distributors or visibility that we hope and expect it will have as we go forward. But what we're starting to see and I think we've talked, you and I especially have talked about this, it is becoming as added inflection point. We're now starting to see some major customers start to adopt the technology, we're just seeing the beginning of that, but it's not testing, it's not looking to see if it works, it's none of that. They're actually just trying to adopt it, so they're trying to roll it out in the field. As that happens we're quite confident that those customers while they're adamant about as not releasing press releases or anything like that, they are very willing to talk to other potential customers. And so we think that this will be a big step forward in starting to see this technology adopted. The good news is the technology absolutely works, the better news is there is still no competing technology anywhere near as at this point, and I think that we are aware of that all and we would be aware because of the certifications et cetera others would have to go through. So now it's a matter of just kind of gliding out, getting in front of people and getting those reference customers to talk to the right people, and that's what we're really doing. I think we're focusing now this year and in the next year on North America and then depending on what happens in Italy, we'll be focusing on Western Europe.
Eric Stine: Got it, okay, that's helpful. Maybe just turning to IRIS, any update on the RFP, I know that you've been getting orders from the transmission company there in the U.K. kind of piecemeal orders working towards that larger order, is that something that you expect in 2016, but is there some timing you could share?
Dan Ford: I wish I could, they've told us repeatedly, I mean we actually went to them a few months ago and said that we are going -- if we didn't have some firm notices what they were going do, we were going to take the resources that we have dedicated the IRIS team and move them somewhere else, that's when they started giving us this piecemeal orders and have told us, not equivocally, they do not want us to do that, they want us to keep that team together. So, with that in mind, there is an order coming I mean a bigger RFQ coming but they just simply can't tell us when, they’ve got internal issues that they are going through and again it's like anything else with budgetary issues, they’ve got their own people to answer too. But I will tell you that we have been told by them not to disband that team, to keep them together. They're still very committed to the technology.
Eric Stine: Okay. And just to clarify something I've seen in the last few days, some news out there that that transmission company might be selling their gas distribution assets with that, I mean does that have any impact on your outlook at all?
Dan Ford: Actually, distribution is a different matter for us. It's actually quite exciting for us. And we've talked about this in the past. We’ve been mostly with their transmission company, and the transmission is the big [indiscernible] Europe the way it works, and I think we've talked about this as much like a human weighing system. The transmission is being big 48 inch type, that push a lot of gas through. Distribution is more like the capillary system, they are the once who deliver directly to the customer. They have lower pressure gas, two and three inch pipelines, so very small. There's a lot of demand especially for IRIS at the distribution levels, especially for the IRIS light that we've talked about and noticed. So, distribution for us is a big deal, but it really doesn't impact as who owns or what they doing, it's just another customer for us. But we deal predominantly with our transmission group not with their distribution group.
Eric Stine: Okay. May be last one from me, just on the orbit of the new facility there, just thoughts on how that helps your ability to respond as the potential Italy order in early first quarter?
Bill Clough: Yes, it's a big deal for us. I think as most people been in the Company time now the show point for us on the GasPT is the calibration. It has to be calibrated once it goes out in the field. The formal opening of this facility in the U.K. allows us to bring that all in house. We're going to be able to do all of our own calibration. We don't have to depend on outside third party contractors. We were having GL Noble Denton do it for us. We're bringing that in house, which means now we control our own destiny. Frankly, if over the next couple of years, if things work out the way we hope it will, we want to bring that entire supply chain in house. We'll start doing the assembly and manufacturing in house as well. So, it is a situation where we're moving step-by-step to a point where we will be able to capture all the margin; manufacturing, and other margin on this device, which we think will be not much better for the Company. So it is, its controlling our own destiny and that's and that's been good. It also allows us to bring everybody under one roof, which means when we have an issue, as an example in manufacturing, they could walk up stairs to talk to the engineers about design or design changes as opposed to having to drive somewhere and get on a telephone or do the other things that people tend to do. So everything is under one roof now, and I'd invite actually anybody who has the opportunity if you get over to U.K. or are on vacation or whatever. If you'd like to stop by, we'd be happy to host you to, it is a beautiful facility and I think it's going to really dramatically change the way we can deliver product.
Eric Stine: Okay. Thanks a lot, guys.
Operator: Our next question comes from Andrew D'Silva with Merriman Capital. Your line is open.
Andrew D'Silva: Hi, good morning, guys. Just a couple few questions for you here. As far as the large Italian operator goes, I remember previously we were expecting potential deadline to be n the summer of this year and that got postponed six months or so. Are there any other delays that we can anticipate or are they like stuck on an affirmed deadline at this point in time?
Bill Clough: Let me disabuse of what you said, they have set a firm schedule the first of this year that they have never buried for. In the summer what we have said in the spring rather that they would issue an RFQ for prequalification of companies, they did that. They said that they would notify companies that could impact bid in the summer, they did that. They said that they would issue an RFQ by the end of August, and I didn't believe that because Italian's don’t work in August, and that's just a fact, the country closes down. They issued that RFQ on September 3rd, so they were three days late on that, that's the only delay they’ve had. They’ve told us that they will make a decision this year and that they expect units to be delivered first quarter of next year. They expect to install up to 650 units by June of next year. So, none of this been announced earlier this year has slipped. It's been very definitive and very solid and they've moved forward on that in that basis. So, again I can't tell you when and what they'll do. They are a semi-governmental agency that is the largest European utility company. So they are going to make decisions on their own time. But they have been very consistent over the schedules they put forward, and if they continue with that, we expect to hear something by the end of the year with, like I said, deliveries first quarter.
Andrew D'Silva: Great. Thank you for the clarity on that, and then as far as the need for that operator to have multiple technologies implemented, is there any sort of mandate in Italy as far as they'd have to use different contractors and different technologies so that they're not favoring anyone, particular one across the pipeline or is it possible that they could actually utilize a full 3,000 of your GasPT's?
Bill Clough: So, that's a grey area. I will tell you that the EU requires contracts of this size. It's European Union, it's not Italy, it's the European Union. It's a very different situation over there. In fact, in some regards you can almost liken it to the European countries being States in the United States, and they are now States in as European Union which is kind of hybrid entity. But the European Union requires contracts of this size to have bids go out that could be responded to by more than one vendor. They do not allow a bid like this to go out to more than one vendor. On the other hand, there are qualifications that have to be met, safety certification, accuracy certifications, durability certifications, this things that all vendors have to meet. And obviously there is certain physical requirements regarding logistics. Whether or not the device uses gas or needs to be calibrated or needs maintenance. So there are all things that the individual utilities able to take into account. I will tell you that the EU does not like to have single source contracts. On the other hand there are plenty of single source contracts where you have unique technology or something that we're still only aiming else on the market, and it's just not available anywhere else. I can't begin to tell you what they're going to do at the end of the day. I can tell you what I know and what I know is, right now there are two companies they are looking at, us and our technology, and Elster and their technology. So those are the two companies they are looking at. They are not looking at anybody else. There is no other company that was invited to participate. So I know that, but I can't tell you who is going to get what.
Andrew D'Silva: Okay. Got it. And as far as ASP goes to the IRIS kiosk, are they still £100,000 or is that a moving target currency fluctuation?
Bill Clough: The currency has been pretty stable at the U.K. So the pound is really stable, and yeah, there are around £100,000. We do have the IRIS light now, and substantially that's around £60,000. So again, there are two versions of it but it is consistent.
Andrew D'Silva: And with the large operator in the U.K., are they looking at the light version or not?
Bill Clough: They are looking at it. They are actually part of the group that's testing it right now. But what they've ordered are the regular standard IRIS kiosk.
Andrew D'Silva: Got it. And then you are working with the large organization in U.S. to gain distribution with IRIS domestically or at least in North America. Has there been any progress in that regard?
Bill Clough: No, we're still waiting frankly for the opportunity that we think is going to be there with ETP. As you're probably aware, and this is the one customer we will mention because it's specific. ETP has acquired Williams. They are now at the end of the day are going to be the largest pipeline company in the US and really the largest energy company, one of the largest energy companies in the world. And when once that's done, we think we're going to have an opportunity to present to them and that's really where our first initial presentation will be, and we have not made that presentation yet. We hope to do that if not late this fourth quarter, certainly the first part of 2016.
Andrew D'Silva: All right. And a last question, as far as your distributors go, I think it was mentioned that you're getting right around the 40 distributor mark. Has there been any shift in distributors as far as the ones that you're working with? Have any of them fallen off and you've added new ones? Has there been any change there that you can indicate or has they been pretty consistent since the last call?
Bill Clough: Yeah, real consistent, no changes at all. Again, we're early on in the distributor system, but no. Those that have been there, they are still there and there hasn't been any change. We have 42 and we're very satisfied with the network we have.
Andrew D'Silva: All right. Hey, thanks a lot guys. Good luck for the rest of the year.
Operator: Our next question comes from Jim Kennedy with Marathon Capital Management. Your line is open.
Jim Kennedy: I want to circle back to the Mercury, the VE Probes/Sampling system and could you attempt to size up the global market there number one. Number two, I assume at Gorgon, that was a new build, is this also a retrofit technology for an LNG terminal that is already producing if you will and if it is what are they currently doing in the world of Mercury detection.
Bill Clough: Yes I can tell you exactly what they are doing, they are not doing anything. It is not - project for Norwegian Company that had a fully loaded natural gas tanker turned from North America because the North American operator said you can't certify that as the Mercury content is lower now, we will not take this gas and it has to turn around and go back with the fully loaded tanker full of natural gas, liquid natural gas. That Company is a matter of fact is taking their entire terminal, their entire LNG terminal and retrofitting it with our [indiscernible] but with our Probes totally. So they can do in essence detection of all microelements within the gas. I don’t have the global market for you, I can tell you that with these initial devices that we have sent down to Australia have been very successful. We are trying to do just develop that market, we’re starting to get very aggrieve with that customer and others. It is a very large market because obviously Mercury is going to be a problem anywhere you’re liquefying gas.
Jim Kennedy: Could it be as simple as is taking the number of LNG terminals globally and of course once being under construction now and they are signing a certain dollar value to them?
Bill Clough: Yes you could do that, although there are some gases that have - that don’t have a Mercury issue. There are Middle East terminals for example, Qatar doesn’t have Mercury - is not an issue down there. So there will be some of that but it’s we just have not quantified that, I can’t just give you off the top, it is a large market there is no doubt about it.
Jim Kennedy: Okay. And do you go to market simply by going to the terminal guys to the large integrated to the operator, I mean who is the actual purchaser? Do you have to get and design phase on a new build?
Bill Clough: All of the above, we’re talking to a number of different big construction companies, design companies, we are using the company that we are dealing with now as a resource to go to co workers with there, the bottom line as you have Chevron, Shell, BP, all working on the Gorgon project together, so you have access to all of them through the relationship we’re developing down there. And again you got all of the things you mentioned we are doing. We've got people on the ground, going after this in every way possible.
Jim Kennedy: Got it. And is this specific to Mercury or is it technology lend itself to detection of other things that have not been detectable in the past?
Bill Clough: It's not detectable but it lends itself to any trace elements and the reason that is again not to get too technical, the VE Tech – the standard method of sampling gas is you pull up a whole lot of very dirty gas into a chamber if you will, you filter that gas and then you send it after it has been decompressed to a analyzer. The problem is that filtering and that the process of providing to the analyzer tends to make things blend and as they blend trace elements disappear because the more gas involves, so things like moisture, things like H2S, things like Mercury disappear until they are so much of it that you can’t just blend it out, our device VE Technology because of the way it’s operated takes a very small amount of gas with very little to know filtering and provides it from the center of the pipeline to the analyzer in a matter of seconds. So the gas sample with the analyzer gas is very pure and its exactly the gas is going to that pipeline and because of that the detection systems which have always been good, detecting Mercury, detecting H2S, detecting moisture that is very simple, the problem is getting the right sample to the detector and as a word - we are actually getting the sample that is truly representative of the gas to the analyzer and that is what - frankly that's what the industry is starting to see. They are starting to see that, what they thought was something that was just a normal part of the business which has taken a sample, who cares, who knows, that can’t be very difficult, they are starting to realize, taking a sample is critical to trace element detection because if the sample is not pure, then you are not going to detect what is in that pipeline, you are going to detect a mixture then may or may not represent what’s in pipeline.
Jim Kennedy: Very good, thanks.
Operator: [Operator Instructions] Our next question comes from Gregory Macosko with Montrose Advisors. Your line is open.
Gregory Macosko: Yes, thank you. Just a follow up on the Mercury discussion. Is that only a LNG end market or we talking distribution and like in the United States.
Bill Clough: It's predominately a LNG probably - it’s a predominately an issue when the gas is a liquefied. It's like moisture - Mercury gas what happens in the standard pipeline if you’re not liquefying it, it simply settles to the bottom of the pipe and you never see it, never hear about it. The problem when you liquefied is you tightening everything up. As example, moisture is very, very difficult to deal with an LNG channel, because as you drop towards a 165 degree C below zero, that moisture becomes ice and so the problem is obviously it can really do catastrophic damage to the LNG general. So unless you’re liquefying the gas, the trace elements really are not that important in the standard pipeline you’ve got - it's actually amazing I never knew this and so I got into there to the actual industry itself. But there is a whole bunch of real garbage that flows on the bottom of those pipelines, it really is a - it is something that nothing can be done about if natural gas is a natural product and it does have additional elements to it but once you go to liquefy it, that’s where you have the problem because now you’re concentrating it and you can cause real damage with this trace elements.
Gregory Macosko: Thanks for the explanation. And I did appreciate the explanation on the large distribution customer all of that, that was good. And finally would you talk about - you mentioned Joe Mills, just give me an some color on kind of what he is going to do, how that will change is that just a replacement or is that expansion, explain his position and what we expect to think?
A – Bill Clough: What we’re looking to in essence bringing in people, industry people especially on to the board, we’re going to be looking at people in the electronic industry as well as the gas industry who can bring on two things is one is business acumen and yes it is into to the board and also role of that. George guidance very respected in the industry, he has been in the industry for 30 plus years, he has run exploratory divisions within companies like El Paso gas, he is running Eagle Rock energy. He lives in Houston. He is very connected to the industry and brings to us a very high level both creditability in the industry and also contact to the industry. He can take us the people that we wouldn’t be able to get to, he can -he by him being with us on our board, if you look at that company, I think in a different lights. As an example, one of the things we are doing next year’s we’re going to be attending a conference in Houston in the energy industry where he is going to host a dinner, he has got number of individuals who wants to come to the dinner, he has an entire group of people that he thinks would be very interested in both the VE technology and the GasPT and he can bring the personal touch that without someone like that, you just don’t have. So again I think he does two things for us one is a very sophisticated board member in very in-depth and a respected business man and he is in the industry which helps us. So like I say, we’re going to be looking over the next months and year or so for people like that both in gas and electronics and much like our acquisition strategy we’re trying to be very opportunistic. Obviously we want to pick people that our collegial and then will fit with our board were very proud of our current board, they been many of them long term supports the company and they have their own abilities that they bring to the table. We want people who fit with those people but also bring the additional value of being in the industry whether be electronics or energy. Does that answer to your question?
Gregory Macosko: Yes, thanks Bill.
Operator: Our next question comes from James Liberman with Wells Fargo. Your line is open.
James Liberman: Greetings. Pleased to see the great progress you are making Bill. Could you comment on the Mercury manager again, it is something that is mandated or just simply good business practice for – in for safe handling.
A – Bill Clough: It's not mandated because the problem is, there can be no Mercury if there no Mercury in the LNG and the reason for that is because again as I mentioned its highly closer to aluminum and there is a lot of aluminum components in your LNG terminal whether it's export or import it doesn’t matter. So there is no level of which the Mercury is acceptable. The problem is up until the introduction of our technology the sampling system there was not true way to detect it on an accurate basis and so what happened is you would have what happened with this Norwegian company. You have a source that is heavily - the people know it’s heavily contaminated with Mercury, the LNG import terminal said we want certification that the Mercury level in this product you are trying to deliver us is either not there or very negligible and you couldn’t do it, because it is certified. And so the North American LNG terminals said we were not taking, take it away, we don’t want. So it is not a matter of good business practice, it’s not a matter of regulatory control, it’s a matter of if you can certify we’re not taking because the problem is you take one tanker full with gas that is being contaminated by Mercury and you’re going to have a catastrophe failure of your LNG terminal which means you’re going to have millions of millions of dollars in repair cost. So they just don’t want it and so what has happened is the industry has become more and more sensitive to it and it’s a timing matter, we have to be in the right place at the right time. I think the best evidence of that really is we went down to Australia and I have said this before in other calls, we went down to Australia expecting to have about £600,000 order about a $1 million order. We’re going to be delivering - approaching $5 million worth of product down to this year and we think there will be $15 million to $20 million maybe $30 million over the next two years and almost all of that is Mercury detection and moisture detection. So they have seen that there is a new way to detect these trace elements and it’s very effective and they like that.
James Liberman: Thank you. And I wondered if you could give us some color also to the upcoming Italian order for the – if you’re looking to deliver approximately 600 units say by June of next year, would you be able to do that, would you be able to meet that kind of demand and how would you expect that flow in terms of your production deliveries?
Bill Clough: Sure. Let me tell you something and if you don’t appreciate this I want everybody to appreciate this. The worst mistake we can make is to chase this order for almost five years now, get the order and be unable to deliver a perfect product. So as you might imagine, I spend most of my days in the U.K. making sure that we have an inventory of perfectly calibrated units that are going to go out and get delivered to the Italians. There is no doubt in my mind that we have to put forward a absolutely perfect products. This is an huge opportunity for us in the sense that it builds credibility, there is nothing worse that could happen than to deliver the product and have 10% or 15% or 20% failure rate. So yes we are fully prepared to deliver the product at a timely basis. We very much and they are very open about sharing their build schedule, we are absolutely ahead of that build schedule and we can if necessary deliver not only perfect product but spares with that product in case there is some issue with installation or whatever there might be. So again we are quite confident that we can give them what they want and what they need. Again that's something that we are prepared to do that is part of this new facility, its part of the team that we put together to work on this, we are very best engineers, very best technicians. We are working on getting ready for this project. So again, while it's not the only project we have and while it's not [indiscernible] it is one that we are putting a lot of effort into this, no doubt about it.
James Liberman: Thanks again, well done.
Operator: And I'm showing no further questions. I will now turn the call back over to Bill Clough for closing remarks.
Bill Clough: Just in closing again I want to emphasize how much we appreciate your support and interest. The company is truly at an inflection point now. I think we’re at a point where over the next few months and years, this is going to be a very exciting company to be involved in, again as things move forward we will keep you as up to date as we can. And obviously both Dan and I are available and if you have questions or have things that you are concerned about don't hesitate to contact us either by email or by phone. Again thank you for everything and that will end the conversation. Thank you.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect and everyone have a great day.